Operator: Good day, everyone. Welcome to today’s T2 Biosystems First Quarter 2020 Earnings Conference Call. Today's call is being recorded. At this time, I’d like to turn things over to Mr. Philip Taylor, Investor Relations. Please go ahead, sir.
Philip Taylor: Thank you, operator. Thank you for joining us for the T2 Biosystems first quarter 2020 financial results conference call. I would like to remind everyone that comments made by management today and answers to questions will include forward-looking statements. Those include statements related to T2 Biosystems' future financial and operating results and plans for developing and marketing new products. Forward-looking statements are based on estimates and assumptions as of today and are subject to the risks and uncertainties that may cause actual results to differ materially from those expressed or implied by these statements, including the risks and uncertainties described in T2 Biosystems' Annual Report on Form 10-K filed with the SEC, March 16, 2020 and other filings the Company makes with the SEC from time-to-time. The Company undertakes no obligation to publicly update or revise any forward-looking statements except as required by law. With that, I'd like to turn the call over to President and CEO, John Sperzel. John?
John Sperzel: Thank you, Philip. And thank you all for joining us today. I'll start by recognizing the challenges and hardships we are all facing as a result of the ongoing COVID-19 pandemic. Thank you to all of the healthcare workers and first responders across the globe for your service and sacrifice. Thank you to my colleagues at T2 Biosystems for your unwavering commitment to advance our mission, despite the difficulties created by the greatest public health challenge of our lifetime. On today's call, I'll start with a review of our performance in the quarter, including the impact of COVID-19, and then discuss the progress made to each of our three corporate priorities. One, accelerating our sales by prioritizing increased test utilization. Two, improving our operations by prioritizing significant cost reductions. And three, advancing our pipeline by prioritizing our programs under the $69 million milestone based product development contract, awarded by the U.S. government in September 2019. John Sprague will provide the detailed first quarter financial results. I will make some closing remarks, and then we'll open the call for questions and answers. As we announced, the T2 Biosystems team generated total revenue of $2.5 million in the first quarter of 2020, an increase of 43% compared to the prior year period. We continue to supply our T2Dx instruments and our T2Bacteria, T2Candida and T2Resistance Panels to hospitals around the globe, to aid clinicians in the rapid detection of substance causing pathogens. We are fully committed to our 2020 priorities, which now include the development of the COVID-19 molecular diagnostic test, branded as the T2SARS-CoV-2 Panel. We have taken important steps to strengthen our balance sheet during the quarter, which we believe provides more than one year of cash and to significantly reduce our operating expenses going forward. Given the disruption and uncertainty related to the ongoing pandemic, on March 24, we suspended financial and operational guidance for 2020. As hospitals have undergone extreme changes to focus their resources on the identification, treatment and management of patients with COVID-19, they currently have limited bandwidth to advance evaluations of new technologies. Our hospital based customers include, critical care and infectious disease doctors and pharmacists, and laboratory directors who are on the frontline caring for patients. Hospitals have also restricted access to nonessential personnel, including our sales and medical affairs teams, and limited access for our service team. While these conditions have created commercial headwinds, we're using technology to remain engaged with our customers as much as possible. At the same time, the value of our platform has proven to be an essential element for our customers. We're pleased to note that most of our customers are continuing to place orders, and in some cases, larger or more frequent orders, given the patient population in their intensive care units. Data has demonstrated that COVID-19 patients are susceptible to co-infections and secondary infections that can cause sepsis. Our customers understand this connection, and have been using our tests to help manage patients more effectively. We're seeing increased rates of testing at accounts and geographies that are heavily impacted by COVID-19 cases, like New York City, Italy, Spain, and Greece. The severity and cost subsections are staggering. A recent study found that sepsis contributes to one in five hospital deaths globally. And then approximately 11 million people worldwide die from sepsis each year. That's more deaths than all forms of cancer combined. In the United States, sepsis represents nearly $41 billion in healthcare costs, and is the most common cause of in-hospital deaths, killing nearly 270,000 people in the United States each year. For those, who are new to T2 Biosystems, our technology includes the only FDA cleared products to identify such as causing pathogens directly from blood, in three to five hours, without the need to wait days for a positive blood culture. Saving time means saving lives, when managing patients suspected of sepsis. At each hour of delayed targeted treatment, increases mortality risk by up to 8%. Rapid pathogen identification can enable quicker administration of targeted antibiotic therapy, reduce unnecessary use of broad spectrum antibiotics and help to prevent and combat growth in antimicrobial resistance. Regarding COVID-19 impacts on our business, predicting the duration, possible resurgences or further institutional changes is not possible. But based on current information, we’ve created a set of assumptions under which we are running our business. This is a fluid and dynamic situation, and we will adjust our game plan as new information is available. We remain hopeful that social distancing, and other precautionary measures to flatten the curve of infection rates continues to prove effective. We believe our current products will continue to be crucial tools to identify co-infections and secondary infections related to COVID-19. And that the T2SARS-CoV-2 Panel currently in development could potentially log the detection of primary COVID-19 infections. We'll now shift gears to discuss the three corporate priorities we established to drive long-term success for the company, accelerating our sales, improving our operations, and advancing our pipeline. Let's start by addressing our first priority, accelerating our sales. During my first quarter as CEO, we challenged all assumptions related to our commercial strategy. As a result, we've shifted our strategy to focus on increasing the utilization of our tests among our installed base of instruments, and driving adoption of our T2Dx instruments. We believe these are the right metrics to demonstrate commercial traction rather than the historical focus on number of instruments placed in a given quarter. We are prioritizing the U.S. market and focusing our direct commercial efforts on our current customers to gain access to more affiliated hospitals and new stakeholders within those accounts. We're also targeting hospitals that are members of group purchasing organizations where we have contracts. During the first quarter, we were awarded a multiyear innovative technology contract from Vizient, Inc, the largest group purchasing organization in the United States market. Vizient sells more than 50% of the nation's acute care hospitals, 95% of all academic medical centers and 20% of the country’s ambulatory market. The Vizient contract includes the T2Dx instrument and the T2Bacteria and T2Candida Panels, and was based on a recommendation by clinical experts on Vizient Member Council, that our products offer incremental benefits compared to other products. We believe entering into pricing contracts with prestigious organizations, like Vizient, and Premier, who awarded us a breakthrough technology contract in September, 2019, validate our technology, increase our visibility with hospitals and facilitate sales activities. We are further focusing our U.S. commercial strategy to target clinicians in high-risk departments, where our products are typically used, such as the intensive care, oncology and transplant units. To better address this group of clinicians, we've refined our messaging to target these providers and expand our relationships in these departments. We understand it is essential for us to address multiple stakeholders within the hospital, due to the complexity of sepsis management protocols, which are created with input from clinicians, lab directors, and hospital administrators. Our medical science liaisons are playing a key role here, in demonstrating and expanding body of clinical evidence and used cases that are resonating with the stakeholders within the hospital. To realign our U.S. sales team with these objectives, we made changes to the compensation plans by heavily weighting, incentive-based sales compensation on test utilization. We're pleased to see early traction with active accounts integrating our tests into their sepsis management protocols, and placing orders on a routine basis. At the end of the first quarter, the active installed base of T2Dx Instruments was black, and we saw a slight sequential increase in the annual test utilization run rate per active instrument, compared to the prior quarter. We're also encouraged to see instruments that were under evaluation convert to contracts, under both capital and reagent rental agreements, despite the ongoing challenges associated with COVID-19. This progress was offset by instruments that are still in an evaluation period that has been delayed due to COVID-19. We view these are strong signals that our platform fills an unmet need, while delivering value to hospitals in spite of the current market conditions. Internationally, the healthcare diagnostic market in Europe experienced similar disruption from COVID-19. Interest in evaluating T2Dx Instruments slowed, that did the progress with evaluations already underway. We did however, some strong test utilization from customers in areas that were hardest hit with COVID-19 infections, as I mentioned before, like Italy, Spain, and Greece. Following the recent CE Mark approval for our T2Resistance Panel, I'm pleased to inform you that we're gaining early commercial traction in Europe. And we now have our first hospital customer, which implemented the T2Resistance Panel into routine clinical use. Finally, we continue to pursue opportunities to strengthen our international business by partnering with large strategic commercial distributors. And we remain optimistic that the first such agreement may be completed during the second quarter of 2020. Moving to our second priority, improving our operations. I know that on the last call that based on my initial observations, the company's expense profile would need to undergo significant changes to affect the current size and scope of the business, and to sustain a position of financial strength. In conjunction with our strategic shifts, and as a result of current market conditions, we’ve restructured our workforce resulting in a headcount reduction of 22%. And we plan to consolidate our facilities resulting in a real estate space reduction. We also conducted a deep dive examination of costs across all departments and eliminated expenses that did not support our new strategy. Second quarter expenses will reflect these new changes and we aim to continue to build upon these cost savings throughout the year. We will also focus on improving the cost of product revenues moving forward. As we did with our operational expenses, we conducted a thorough evaluation of our current products and supply chain, including our processes for ordering raw materials, manufacturing, packaging, and shipping. At the beginning of the second quarter of 2020, we implemented numerous initiatives designed to reduce our cost of goods. We anticipate many of these initiatives will be completed during 2020, and will have a positive impact on our product gross margins going forward. Looking to our third priority, advancing our pipeline. Our team of scientific experts are continually working to expand our offering, powered by T2's proprietary technology platform. Last year, the company was awarded a milestone-based $69 million product development contract by the U.S. government to create a next generation instrument, expanded panel and biothreat panel. We believe the comprehensive panel we're developing has the potential to revolutionize the blood diagnostic space, and could potentially replace most blood cultures performed for species identification and susceptibility results. It's being designed to potentially cover greater than 99% of all blood borne bacterial infections and detect more than 250 species. In addition to all blood borne antibiotic resistant drugs identified by the Centers for Disease Control and Prevention. The last component of the government contract is a biothreat panel that we believe will be the first high-sensitivity, whole blood test for the detection of multiple biothreat pathogens and toxin genes. Given the versatility of our technology platform and our scientific expertise, we explored possible means to further assist with the efforts against COVID-19. We determined that the most efficient path to develop and launch of COVID-19 diagnostic test was to license certain proprietary information from the Center for Discovery and Innovation at Hackensack Meridian Health. The proprietary information we licensed from Hackensack is accelerating our development of the SARS-CoV-2 molecular diagnostic test that we believe will detect the presence of the viruses’ genetic material. We're excited about the progress we're making on the development of the T2SARS-CoV-2 Panel, which is designed to use nasopharyngeal swab sample, and we look forward to launching a molecular diagnostic test that we believe will provide the quality customers have come to expect from T2 Biosystems. Once the T2SARS-CoV-2 Panel development is completed, validated, we plan to make it available to customers under the FDA Emergency Use Authorization guidelines and pursue the formal FDA EUA. At this time, we anticipate making our T2SARS-CoV-2 Panel available to U.S. customers as early as the end of this quarter. The market potential for COVID-19 diagnostic test continues to evolve, as the industry responds to the pandemic. As we've seen with many other diagnostic tests, we believe multiple COVID-19 tests will succeed in the market, including molecular diagnostic tests to identify acute cases, and antibody tests to identify active or castrated infections. We also believe COVID-19 tests will be performed in multiple locations, including weapons laboratories, hospitals, and pointed parasites like doctor offices and clinics. Given the susceptibility of critically ill COVID-19 patients to develop co-infections and secondary infections that can lead to sepsis, we believe our T2SARS-CoV-2 molecular test has the potential to be used to identify acute infections, and target patients under intensive care, who may also benefit from early identification of bacterial or fungal infections with our T2Bacteria and T2Candida Panels. Providing rapid results in this setting can enable faster targeted therapy, which can lead to reduce length of stay in the intensive care unit, and free up beds for incoming patients. Now I'll turn the call over to John Sprague our CFO, to provide details on our first quarter financial results. John?
John Sprague: Thank you, John. Total revenues for the first quarter of 2020 were $2.5 million, an increase of 43% compared to the prior year period. Product revenues for the first quarter of 2020 were $1 million, a decrease of 20% compared to the prior year period. Growth in test panel sales offset declines in instrument sales. The installed base of T2Dx Instruments ended the quarter flat compared to the prior quarter. We believe COVID-19 negatively impacted our U.S. and international sales. Research and grant contribution revenues for the first quarter of 2020 were $1.5 million, an increase of 218% compared to the prior year period. Cost of expenses during the first quarter of 2020 were $16.1 million, an increase of $800,000 compared to the prior year period. Cost of product revenues were $4.7 million compared to $4.4 million in last year's first quarter, an increase due to the write-down of inventories and T2-owned instruments of $1.2 million impaired from the impact of COVID-19 on our business offset by lower overhead spending. Research and development expenses were $4.9 million compared to $3.9 million in last year's first quarter, include expenses incurred under the government contract of $2.1 million in the first quarter of 2020. Selling, general and administrative expenses were $6.5 million, compared to $7.1 million in last year's first quarter. First Quarter 2020 cost expenses include severance cost from our cost reduction program of approximately $400,000, which represent ongoing annual cost reductions of more than $3.7 million. Net loss was $15 million $0.22 per share, compared to a net loss in last year's first quarter of $15.1 million, $0.34 per share. Weighted average shares outstanding were $67.9 million, compared to $44.3 million in last year's first quarter. Total cash and cash equivalents were $36.5 million at March 31 2020. We sold 68.2 million shares for $40.1 million in net proceeds for our ATM and equity credit line facilities in the first quarter. In April 2020, we expanded the ATM facility to $95 million and we cancelled the equity credit line. We're compliant with the terms of our CRG debt facility. Stock auction exercises and shares sold under the ATM may affect weighted average shares outstanding. Guidance for fiscal year 2020 has been suspended due to the uncertain impact COVID-19 may have on our business. Thank you. And back to John Sperzel for closing remarks. John?
John Sperzel: Thank you, John. I'm proud of how our team has responded during the early days of the COVID-19 pandemic and continues to adapt, while quickly emulating policies to ensure the health and wellbeing of our employees and our customers. While the COVID-19 pandemic has created challenges around the world, diagnostic testing is center stage, and its value has never been more apparent. During the first quarter, we implemented important changes across the organization and made meaningful progress, advancing on our new corporate priorities, accelerating our sales, improving our operations, and advancing our pipeline. We look forward to providing updates on our progress toward these priorities throughout the year. We'll now open it up for questions. Operator?
Operator: [Operator Instructions] We'll hear first from Puneet Souda with SVB Leerink.
Scott Mafale: Hi guys, this is Scott Mafale on for Puneet. Thanks for taking the question. So first of all, congrats in the licensing deal with Hackensack for the COVID-19 assay. I was wondering if you could walk us through kind of what is left to be done with that from a validation and development standpoint to begin using the assay on the T2Dx Instrument? And then once it is approved, what is your manufacturing capacity look like at that time?
John Sperzel: Scott, I have Tom Lowery, our Chief Science Officer on the call as well. And so I'm going to ask him to address the scientific question about what's left to be done on the test. In terms of manufacturing capacity, I will say that on the operation side of our business, our SARS-CoV-2 test uses many of the same materials that are Bacteria, Candida or resistance panel uses. So from the supply chain standpoint, we're in very good shape. And we have sufficient manufacturing capacity, such that we don't need to add additional resources to enter this test into our operations. In terms of actual output numbers, it's little bit early. We plan to make the test first available at the end of this quarter, and we'll update on what the specific output will be at that time. So Tom, can you address the scientific question?
Tom Lowery: I’d say, we've got the test tested right [ph] in-house from Hackensack. And we have been currently developing that and optimizing. We really care about avoiding some of the quality issues with some of these earlier tests have suffered from. And we know that we’re well-known for high-sensitivity tests. So we’re ensuring we can get the performance that our customers would expect on the automated system. So we're currently doing optimization in the motion towards that timeline that John shared.
Scott Mafale: Okay, great. And then if I could on the COVID assay again. So could you guys provide any more color on the pricing or the throughput characteristics to the assay at this time? And then how do you expect the assay kind of stack up against the current PCR standard in terms of the margins to the provider lab?
John Sperzel: Yes. So, this is John again. Let me just – I’ll give you some thoughts on where we're going to target customers, some general remarks around pricing, because I think that'll satisfy some of what you asked for. And keep in mind, we’ve not launched the tests yet, so I don't want to get too far ahead of our skews on it. But the customers that we plan on targeting include hospital intensive care units, as well as oncology and transplant units. So we're targeting the same departments with the launch of the T2SARS-CoV-2 Panel that we sell through today. So this is about expanding our menu with the addition of SARS-CoV-2 Panel. It fits our strategy of increasing test utilization among our installed base, as well as increasing adoption of our T2Dx technology. We recognized that some hospital labs will have a need for increased tests, given the demand and the supply challenges, and we believe we can satisfy some of that as well. With respect to pricing Scott, we also know there's a wide range of COVID-19 tests available, as well as being developed, including molecular and antibody tests, as well as tests based on laboratory or clinic care technologies. We anticipate launching a high-quality molecular diagnostic test, gets used in the hospital market. And we anticipate that our pricing will be competitive in that segment.
Scott Mafale: Got it. It’s very helpful. And last one if I could. I appreciate the comments you made regarding instrument purchases and the capital purchasing environment for hospitals right now. With that being said, is there – do you have any views on the second-half? And if there could be a rebound and what a rebound look like in the second-half of the year? Thanks for the questions.
John Sperzel: Sure. So I would say that our strategy is to drive test utilization. And so, success with that strategy is not dependent on instrument placement in 2020. Obviously, as we look out to 2021, 2022, we want to make sure that we start to drive a larger installed base so that we can further execute that strategy. But as far as '21 - 2020 is concerned, the headwinds that we're experiencing with COVID-19, when it comes to instrument placement or instrument sales, is not impeding our strategy to drive test utilization. So, we do believe that as things start to lighten up, as hospitals start to increase bandwidth to look at advancing new technologies that they were considering that that will provide additional opportunities for us to increase our installed base. And then, hopefully, that that begins in the second-half of the year.
Operator: We'll hear next today from Max Masucci with Canaccord Genuity.
Patrick O'Donnell: Hello. This is Patrick O'Donnell on for Max. Thanks for taking the question. So, first question here, given the proximity of COVID-19 in related co-infection and secondary infections your test target, how should we think about any long-term potential for elevated utilization for your commercially launched and pipeline tests as this pandemic unfolds?
John Sperzel: I think it fits perfectly within our strategy. The strategy, as I was just mentioning, around driving test utilization is also a strategy is quite common in diagnostics, which is to continue to broaden your test menu. And we see this as a natural extension of our test menu for critically ill patients. One, because of the connection with sepsis causing pathogens and the link to COVID-19 there, there continues to be more and more data that's coming out that [indiscernible]. Our customers are seeing that and many customers among our installed base are asking us, how quickly our test can be available. So we see demand for it and we see that demand being sticky.
Patrick O'Donnell: Thank you. And one more, looking here at the commercial organization. How are you working now to keep the sales team continually engage during the pandemic? And there have been things that are surprised me regarding your commercial team or commercial efforts throughout these past couple of months.
John Sperzel: I’m going to ask Tony Pare, our Chief Commercial Officer to address that as he’s closer to it. Tony?
Tony Pare: Yes. Thanks John. It’s been somewhat of a challenge to reach many of our customers including infectious disease clinicians and pharmacist, but it hasn’t been impossible. So we are using technology to help us as the matter of fact we just setup a webinar to talk about these co-infections and how T2 can help and diagnose the co-infections that are very common with COVID. But we are also setting up remote training sessions, for some of these accounts where the evaluation has completed, but they haven’t been brought to routine usage yet. And then lastly, we are reaching out in connection where we can. And we’re using our medical science liaison for this task, since it is a clinician-to-clinician discussion, especially when we're talking about these secondary interaction. The great thing is, for those customers that have implemented our tests and utilizing on a routine fashion, as John alluded to, we have seen quite an uptick in the orders for those particular accounts. The accounts that are impacted, in terms of COVID in ordering tests are those where the evaluations would not be completed. And those evaluations have been suspended for the most part, although, we have seen some continuing just on at a lower rate.
Patrick O'Donnell: Thank you.
Operator: We’ll hear next from Ben Haynor of Alliance Global Partners.
Ben Haynor: Good afternoon, guys. Thanks for taking the questions. Just first for me on the cost of goods sold, you mentioned the $1.2 million write-off in the quarter. If I heard you correctly, was that all COVID related?
John Sprague: Yes. It was driven by COVID. Two parts, we've got the reagent rental instruments and we took a look at the cash flows related to those. And with the uncertainty due to COVID took a charge there. And then similarly, as you know, we took down our – or we have not guided for 2020, but we did rework our plans for 2020 as we communicated at our last conference call, and that impaired some of the inventory for T2Dx Instruments as well.
Ben Haynor: Okay. That makes sense. And then, just on the cost reductions. Going forward, it sounds like it'll take a little bit of time to kind of work off. I mean, is that a function of some of the raw material inventory that you have maybe at higher costs or work in progress inventory? What's a good way to think about when the improvements that you guys are in the process of making will start to show up in the reported results?
John Sprague: Sure. So, it's a series of changes in the manufacturing process to get efficiencies of scale, efficiencies in process in the reagent manufacturing process. And they'll take place between now and the end of the year. But as they're completed, they can have rather dramatic improvements to yield and reductions in scrap rates.
Ben Haynor: Okay, great. And then just a couple on the COVID test. Is there any type of quantitative measurement on the panel or any way of getting that viral load on that?
John Sperzel: Tom, would you like to take that?
Tom Lowery: Sorry. I was on mute. So currently under FDA EUA, the SARS-CoV-2 tests are qualitative. And so that's the pathway that we're taking this test down. I think what's really important is getting robust performance, particularly in appropriate sample matrices.
Ben Haynor: Okay. That makes sense. And then just lastly from me, it seems like in the data that's come out, a very high-percentage of the patients that are passing away from COVID have sepsis, whereas a lot fewer of those recovery and have sepsis. Do you guys have any data or anything to point to that can tell us, you know, maybe how quickly some of those COVID patients were diagnosed and whether that hadn't any impact into whether they survived or not?
Tom Lowery: Yes. So we don't have the data from our own customers, right now. But we do have customers that are using our tests in COVID-19 patient population. So we're excited to be able to get our hands on that as they're able to actually correlate that data and share it.
Ben Haynor: Okay. So, stay tuned there.
Tom Lowery: Yes.
Ben Haynor: Got it. All right. Well, thanks a lot for taking the questions, gentlemen.
John Sperzel: Thanks Ben.
John Sprague: Thank you.
Operator: [Operator Instructions] We'll hear next from Steve Brozak with WBB.
Steve Brozak: Hey, good afternoon, gentlemen. And thank you for taking the question. John, this question goes straight out to you. Given your configuration right now and the steps that you've taken, can you answer how you've reconfigured based on - what I'm looking at as an observer is making larger sales to a larger group versus going out there and doing it in ones twos and threes? And how do you perceive that approach is as taking place and shifting into? And then I've got a follow-up question after that, please. Thank you.
John Sperzel: Sure. It's a good observation, Steve. We're certainly focusing our organization on trying to make sales at a higher level, including the use of our management team, many of which have commercial experience. You see that evident in the Premier contract that the company was awarded. That was a deliberate attempt of the company to go out and get a major grid purchasing organization under contract. And we followed that up with a contract with Vizient. So that opens up substantial opportunities. We still have to go out and convert those customers. And we're also targeting large integrated delivery networks. So we are absolutely taking a top-down approach and a very focused approach to our commercial strategy.
Steve Brozak: Great. And then keeping along those lines, you had alluded to it earlier in the call. But obviously, when you're looking at that kind of a growth, there's a lot of different entities are complaining about access to products any kind of components and such. What steps have you taken on that front and on the manufacturing front to ensure that for that type of approach that you're taking, that you can satisfy it when it does present itself?
John Sperzel: Well, I think it's fair to say that no diagnostic company that I'm aware of has unlimited manufacturing capacity. So, many companies are working through the process of scaling production. And one benefit that we have is that this company was built to produce more volume than it has historically produced. And that's why I said in the prepared remarks that we don't really have to add additional capacity to launch our SARS-CoV-2 test. It doesn't mean that we have unlimited capacity, but we absolutely have capacity right now, once we're able to launch.
Steve Brozak: Okay. And I'll cheat, I want in one for you, how about one for Tom, and I'll get back in the queue, please. Tom, in terms of - and by the way, congratulations and quick thinking on the COVID side, obviously. Can you give us any background in terms of - because this is the first innovative test that you've gone out and developed? You also went out there and did Candida auris couple years back in conjunction with CDC. What did that teach you? What did that teach you in terms of the ability to go out there and turns you on a new test? And anything you want to give on, I'd be very curious to know and understand that and I'll hop back in the queue. Thank you.
Tom Lowery: Yes. I mean, I think our Candida auris experience taught us that the platform was easily configured for different types of sample matrices. And because it's T2 Magnetic Resonance based, it's agnostic to the sample matrix. And so as we've been seeing, whether we're testing them in universal transport media or other type of matrices that the platform works very robustly. And so that's enabled us to be able to more quickly reconfigure how our reagents and then how our instrument processes the test cartridge to be able to go after new sample types. So that's one of the things that we're excited about with this test. It's not as complex as doing it directly from whole blood and doesn't require anywhere near the high-sensitivity of our directly from blood sensitive pathogen detection tests, that reduces your turnaround time and reduces the manufacturing complexity. And so it's a nice situation to be in.
Steve Brozak: Great. Again, thank you for taking the questions.
John Sprague: Thanks Steve.
Operator: [Operator Instructions] And Gentleman, at this time I'd like to turn things back to you all for closing remarks.
John Sperzel: Thank you for joining us on today's call and for supporting T2 Biosystems. I look forward to updating you next quarter. Have a great day.
Operator: And again, that does conclude today's conference. Thank you all for joining us.